Operator: Good day, and welcome to the Olympic Steel third quarter 2008 conference call. Today's call is being recorded. At this time, for opening remarks and introductions, I'd like to turn the call over to Mr. Michael Siegel, Chairman and Chief Executive Officer. Please go ahead, sir.
Michael Siegal: Before we begin our discussion, I want to remind everyone that during this call we will provide forward-looking statements that we do not undertake to update or that may not reflect actual results, changes in assumptions or changes in other factors affecting such forward-looking statements. Important assumptions, risks, uncertainties, and other factors that could cause actual results to differ materially from those set forth in the forward-looking statements can be found in our filings with the Securities and Exchange Commission, including our Annual Report on Form 10-K. It's hard to say Securities and Exchange Commission without a joke after that these days. But in any case, we are pleased to report record year-to-date 2008 financial performance. For the first nine months of 2008, we have achieved record sales and earnings while getting market share in a depressed demand environment. We are particularly proud of our ability to perform well from an earnings perspective, maintain a strong balance sheet, and invest in new property, equipment, and technologies. Let me review some of the details from our third quarter and nine-month earnings report released this morning. Our third quarter sales totaled $335 million, up 31% from the $256 million recorded in the third quarter of 2007. For the first nine months, our sales increased 23% to a year-to-date record of $974 million compared to $793 million in the first nine months of 2007. Our third quarter sales volume totaled 268,000 tons compared to 309,000 tons shipped in the third quarter of 2007. For the nine months, our shipments totaled 937,000 tons compared to 957,000 tons last year. Our year-to-date tonnage volume decreased by 2.1%, which compares favorably to the decline in the total service center shipments of 6.6% for the nine months as reported by the Metals Service Center Institute's Metals Activity Report. Our third quarter net income increased more than fourfold to $24.2 million or $2.21 per diluted share compared to $6.0 million or $0.56 per share for the third quarter of last year. This brought our first nine months net income to a record $66.9 million or $6.13 per diluted share compared to $20.7 million or $1.93 per diluted share last year. While there is much uncertainty in limited forward market visibility in this challenging economic and financial environment, we believe we are appropriately positioned with a strong, low-leverage balance sheet and a proven approach to disciplined working capital management and turnover. At the end of the third quarter, we had shareholders equity per share totaling $29.67. We continue to actively in Olympic’s growth with $24.4 million of year-to-date capital spending on facilities, equipment, and our new information system. We expect to improve our balance sheet strength with positive cash flow and lower debt levels in the foreseeable future. I am also pleased to report that Olympic Steel’s Board of Directors has approved a regular quarter – I can’t read today – regular quarterly cash dividend of $0.05 per share to be paid on December 15, 2008 to shareholders of record on December 1, 2008. As you will recall, we have increased our regular quarterly dividend from $0.04 per share to $0.05 per share last quarter. I will now turn the call over to Rick to comment on some of our financial results in more detail.
Rick Marabito: Thanks. And good morning, everyone. Our gross margin increased to $329 per ton in the third quarter, up from $163 per ton last year. Our 2008 year-to-date margins totaled $275 per ton. The strong margins were the result of higher steel and scrap prices in the first nine months of 2008. Growth in our value-add business and a sales mix of less toll processing volume. Our operating expenses totaled $50.2 million in the third quarter compared to $39.7 million last year. Our year-to-date expenses totaled $150.9 million in 2008, and that compares to $117.5 million in 2007. The increases in expenses are primarily due to higher variable performance-based compensation tied into the financial performance of the company, higher transportation and fuel costs, and increased cost associated with the investment that we continued to make in value-added processing facilities and equipment. Operating income for the third quarter totaled $37.8 million or 11.3% of sales compared to $10.7 million or 4.2% of sales last year. For the nine-month period of 2008, our operating income almost tripled to $106.4 million or 10.9% of sales. And that compares to $36 million or 4.5% of sales in the 2007 period. Interest expense for the third quarter was $350,000 compared to $640,000 last year. And for the nine months, interest totaled $537,000 compared to $2.5 million in 2007. As indicated earlier, we expect to generate free cash flow and reduce our debt balances in the upcoming months. Our effective tax rate for 2008 is running at about 36.8% compared to 38.0% last year. And our tax rate for the remainder of this year should remain relatively constant. Now taking a look at our balance sheet, we continue to manage credit and receivables well. We ended the quarter with $131.8 million of accounts receivable, which is up $43.4 million from the end of 2007. And the higher receivable level was due to higher sales, as our days sales outstanding remained quite strong and actually declined about one day to 37 days in 2008 as compared to 2007. Our inventory totaled $313.6 million, and that is up $135 million from December 31. Year-to-date we have turned our inventory in average of 4.2 times in 2008. And that is slightly below our targeted turnover range due to weaker than expected sales in the third quarter. However, we have already reduced our inventory tonnage by 14% from our mid-September peak, and we expect to further reduce inventory through the fourth quarter. Our debt increased to $89.6 million at September 30, and we finished the quarter with about $39 million of availability under our credit agreement. As a result of the decline in steel prices and the reduction in our inventory levels that I just mentioned, we are expecting strong cash flows and reduced debt in the upcoming months. We spent $24 million in CapEx in the first nine months of 2008, and we continue to invest in the future growth of Olympic Steel. And David will talk more about some of our capital investments in a few minutes. Our capital structure remained strong. Our debt-to-equity ratio is 0.28:1. And our trailing 12-month debt-to-EBITDA ratio is 0.7 times. Our shareholders’ equity per share increased to $29.67 at September 30. Now I will turn the call over to David.
David Wolfort: Thank you, Rick and Mike. And good morning to all. On our prior calls, we’ve discussed our focus on strategically building a strong balance sheet. In today’s uncertain financial and economic environment, this strategy is serving us well. We believe we are appropriately positioned for the current market with a strong, low-leveraged balance sheet and a proven consistent track record of taking a disciplined approach to working capital management and turnover. As Rick mentioned earlier, since mid September, we have reduced our inventory tonnage by 14% without the help of strong demand for steel. Our inventory volume has dropped 9% in October alone, and we expect to see inventories continue to decline through year-end as we get back to our preferred inventory turnover rate of about five times per year. We have spent $24 million in capital expenditures in the first nine months of 2008 and we’ve committed to a similar amount for the future. Our capital spending program includes new facilities in Dover, Ohio, and in Sumter, South Carolina, which will contribute to our operational success in 2009. We are also investing in multiple pieces of new processing equipment such as large bed lasers, plasma cutter, press brakes, shop blasters, a blanking line in Connecticut, new stretcher leveling line in our Minneapolis coil operation. Our new IT system implementation is progressing on plan. We successfully implemented the accounting module in the third quarter. We plan to begin the phased-in-use of the business operating system in 2009. We expect to self-fund our capital spending with cash flows from operations and working capital reductions. In summary, we are very pleased with our record 2009 financial performance and the exceptional efforts of the Olympic Steel employees. We’ve built the company with a strong financial base and a tested and experienced field management team, which will serve us well in this unusual marketplace. Our strong financial foundation includes $29.60 of net book value per share; the payment of regular quarterly dividends of $0.05 per share, as Mike has indicated; a declining inventory position; and expected strong cash flows that Rick mentioned that would result in lower debt levels. Most importantly, we continue to make prudent investments in people, systems, facilities, and equipment to ensure that we provide our customers with superior quality and service in close proximity to their locations. While global markets are currently challenged, we remain optimistic about the long-term outlook of the steel industry and for Olympic Steel. We are confident that we will successfully navigate through this business cycle just as we have done in prior markets that demonstrate sluggish sentiment. This concludes our formal comments, and we will now open the call for your questions.
Operator: Thank you. (Operator instructions) And we’ll take our first question from Lloyd O'Carroll from Davenport.
Lloyd O'Carroll – Davenport: Good morning.
Michael Siegal: Hi, Lloyd.
Lloyd O'Carroll – Davenport: Couple of questions on volume. You added some capacity in the quarter. Can you give us a same-store sales change in tonnage so we can get a feel for how much did capacity add to your numbers?
Michael Siegal: Well, we don’t usually do a breakout other than what we show on the financial information, Lloyd, between the direct sales and the tolling sales. The tolling sales generally is predominant in the Detroit market. As you saw from the release, the tolling sales are down about 16,000 tons for the year. So that’s the predominant decrease. Our direct sales are only about 4,000 – 840,000, 830 – yes, perhaps 1% down on our direct sales. So yes, I would argue that within the construct of the marketplace, we are actually doing better than even the statistics show in total from a direct basis, as pretty much across the board, we’ve seen strong markets, in the markets where we’re presently located. And as we bring on these new facilities, we’re hoping for tonnage growth in the future.
Lloyd O'Carroll – Davenport: Okay. How did volume evolve through the quarter and into October? Did it fall off a cliff in September of – and mostly just trying to get a feel for what is industry and your volume look like where we sit today.
Michael Siegal: I don’t think from what we’ve read from everybody else’s announcements that we’re in a different market than everybody else. Mills lose their volume. They sort of upload the service center inventories. Yes, we saw probably a bigger drop-off in September than the previous two months. But October seems to be steady. We are not seeing this cliff demand – or lack of demand that others are claiming. We are selling everyday.
David Wolfort: Lloyd, this is David. As I commented at the conclusion of my statements, we characterize this more as a sluggish environment, a little bit different than the mills’ environment here. The mills are compelled to have to wait for a large inventory work-off. And our customer base is sluggish, but they are still active today.
Lloyd O'Carroll – Davenport: Yes, I mean – yes, the mills will be impacted among other things by the fact you're taking your inventory lower.
David Wolfort: That’s correct.
Lloyd O'Carroll – Davenport: As in every other service center.
David Wolfort: That’s correct.
Lloyd O'Carroll – Davenport: Yes, yes. Okay. So business is not a disaster, but it's not exactly robust either.
Michael Siegal: That’s correct. I think the financial markets give greater pause than the actual steel market. I think today everybody is a little bit concerned about the bank more than they are about their own business. And whether their renewals are coming up for review, we’re looking at our customers’ information in terms of who their banks are. I mean, it’s really kind of – it’s a different kind of environment than we’ve been through in a very long time. We have to worry more about the bank than you have to worry about your customer.
Lloyd O'Carroll – Davenport: Have you seen any deterioration in the credit quality of your customers?
Michael Siegal: Yes. As Rick indicated in his comments, we’ve actually picked a day this year. We certainly have a lot more scrutiny. We are a little bit unusual. We have our own credit department and do our own credit work. We’re not depending on the credit insurance company to do the company. So we have a very strong credit performance and a long history of knowledge on who is appropriate and who is not appropriate to extend credit to.
Lloyd O'Carroll – Davenport: Okay. As we all know, we’ve been through these cycles before, and I’m just trying to figure out how bad does it get before it improves?
Michael Siegal: Well, I said to somebody last night that I ran into that this is a normal steel market, Lloyd, and we’ve lived a lot more of our life in these kinds of markets than what we've seen in the last couple of years. So we’re very used to this market.
Lloyd O'Carroll – Davenport: Yes. Okay, I appreciate it.
Operator: And we’ll take our next question from Mark Parr from KeyBanc Capital Markets.
Jason Brocious – KeyBanc Capital Markets: Hi, good morning. Can you hear me?
Michael Siegal: We can, Mark.
Jason Brocious – KeyBanc Capital Markets: Yes. This is actually Jason Brocious in for Mark. Mark is on the road today.
Michael Siegal: Yes.
Jason Brocious – KeyBanc Capital Markets: How are you, guys?
Michael Siegal: Good. How are you, Jason?
Jason Brocious – KeyBanc Capital Markets: Doing okay. I just wanted – a couple questions. I was wondering if you can talk about what you’re seeing as far as the availability of imports with the strengthening dollar in recent months.
David Wolfort: Jason, I’ll respond to that. David here. We’re seeing slightly more offerings. Our expectations are that we will see more offerings as the dollar has strengthened over the last 90 days borrowing a little bit of fluctuation here today. Ocean freight rates are down dramatically. The combination of both of those and hunger for additional marketplaces I think will elevate the offering. So we're starting to see them today. Nobody is really taking advantage of them. Our expectations are that we’ll see people probably toward the end of first quarter ’09, taking advantage of them if there is a significant differential.
Jason Brocious – KeyBanc Capital Markets: Okay, okay. And just in light of the credit – difficult in the credit markets, what – has that allowed you guys to gain some market share?
Michael Siegal: No, I hope not. I mean, at the end of the day I would tell you it’s probably cost of sales because we’re a little bit more tight with our credit than some others who are more concerned about their cash situation than we are. I would think it’s the inverse, Jason, that in fact we are capable and apt to decline sales rather than extend credit.
Jason Brocious – KeyBanc Capital Markets: Okay. Okay. And that’s really all I had for you. Thanks.
Michael Siegal: Thank you.
Operator: (Operator instructions) And we’ll take our next question from Charles Bradford from Bradford Research.
Charles Bradford – Bradford Research: Good morning.
Michael Siegal: Good morning.
Charles Bradford – Bradford Research: Hi. Now the expected question on pricing. Are you seeing the kind of offers that we are hearing around the market, which are obviously quite low, but also quite variable?
Michael Siegal: Yes, Chuck, we are seeing a broad range of pricing. A lot of that emanating from foreign purchased North American operations that may be a little bit more heavily leveraged than the consistent domestic ownership that we’ve seen before. We also are seeing a broader range of offerings, again as I commented earlier on Jason’s question, on foreign product. So there is a – again, in your terminology, a broader breadth and width of offerings.
Charles Bradford – Bradford Research: Traditionally A36 plate traded at pretty close to the same price as hard rolled coils. But in last couple of years, the plate has held up substantially – gone up substantially more. Are you starting to see any weakness or any back to the norm in that market?
Michael Siegal: Chuck, we do see some pricing adjustments, but there is still a healthy and significant differential between the ebb and flow of flat roll, as you well characterized in plate, we find plate pricing is more characteristic of plateauing at different levels and we see more cyclicality with flat roll. But there's still a healthy differential between them.
Charles Bradford – Bradford Research: Any guess as to when your customers or your competitors, take your choice or both if you can, might have their inventories back into a more normal position?
Michael Siegal: Actually, no. I don’t think we’re any better prognosticator than our customers are themselves. I don't think anybody is going to be building inventory this quarter as we move into the new year and the new presidency. So, sometime next year, but it could be anywhere from the first quarter to the third quarter, but we have varying degrees of optimism to pessimism through the gamut of our customer base.
David Wolfort: From our perspective, Chuck, we've been here before, as Mike said earlier. We’ve been in the sort of sluggish environments any number of times, probably more than people would like to be, seven or eight times I think, something along those lines over the last 35 years. And we managed to bring our inventory in line and pretty quick order, as we’ve demonstrated by some of the statistics that we normally don’t talk about. But our customer base is working there, finished goods down, and it depends really, as Michael well says, on how sluggish the economy is on a go-forward basis as to how the strong they will bring their production back. Production will still be here. It’s just a question of how strong their production will come. From our perspective, we continue to earn more market share as we put a bigger footprint closer to strategic customers, we garner more share of that marketplace.
Charles Bradford – Bradford Research: It’s not like there is no economic activity at all. It’s down a few percent.
Michael Siegal: That’s right. There is plenty of business out there.
David Wolfort: I mean, really, Chuck – I mean, like everybody knows, everybody is really concerned about the financial issue. We need stability in the financial markets. Whenever that occurs and until that occurs, we're not going to see stability in the steel consuming marketplaces, because how can you be more confident than your ability to garner capital?
Charles Bradford – Bradford Research: Thank you very much.
Michael Siegal: Thanks, Chuck.
Operator: (Operator instructions) And we’ll go next to Nat Kellogg from Next Generation Equity Research.
Nat Kellogg – Next Generation Equity Research: Hi, guys, how you doing?
Michael Siegal: Good, Nat.
Nat Kellogg – Next Generation Equity Research: I appreciate the commentary on inventories and on pricing. Just wondering if you could give us a little commentary on sort of end markets. I mean, obviously you mentioned Detroit a little bit slower, and I'm sure that comes as no surprise to anyone. But just in what areas you guys had seen things or continuing to go pretty nicely and maybe some areas where you are seeing a little bit of softness outside of auto?
David Wolfort: Nat, we made a – let me just give you a little reference here. We made a significant decision five to six years ago not to be involved in low-end commodity products. And so we’ve sort of chased away from that. Obviously what you see is appliances are down. We are involved in the appliance end of the business. Automotive is down, and we’ve reduced our automotive participation significantly over the last three years, but we do enjoy a small piece of it that’s – and so, what you see in automotive is what you get. It is a very sluggish environment there. In terms of the rest of the customer base construction equipment, it's somewhat down. Mining equipment is not down. Agriculture equipment from our perspective is not down. One of the things is that we are seeing that – we had made no comment on and really there hasn’t been any question, we're actually seeing products that are manufactured overseas for any number of our large OEMs coming back to this country and we’re benefiting from that. So, the freight, even though it’s down, overseas quality and overseas labor has. The labor has increased, the quality has gone down, and it has compelled large OEMs to bring product back to the United States. And we are benefiting from that piece of the business. So we’re seeing a little bit of hiccup in that regard.
Michael Siegal: Yes. And the energy markets remain pretty healthy and the military business remains pretty healthy.
Nat Kellogg – Next Generation Equity Research: Okay. Okay, that’s helpful. Energy and military. And now just on the inventory side, I mean, if I look at inventories in the marketplace, at least what the MSCI is sort of talking about, I mean, inventories are little bit higher this time than they were maybe a year ago. But if I go back to ’06, I mean, inventories on an industry-wide basis are a lot lower than they were in 2006. Now maybe the economy is a little bit weaker, so that presents a challenge. But I mean, I guess – I mean, how much inventory – I guess you guys said about a quarter or two you felt like would get the industry back in sort of a more appropriate inventory balance?
Michael Siegal: Again, this goes back to a financial metric too, Nat. I mean, again even though the levels of inventory from a day’s sales may be better, worse, or about the same. I mean, the dollars invested in the inventory are so much more significant for everybody. Not everybody in the service center business is well capitalized. And therefore, as you’ve seen this run-up in pricing, people are more apt to want to liquidate quicker because of the higher prices that have been across the board in inventories. So even though you would expect the inventories to have been higher in a market like this, people just can’t afford to get the inventory. So I would think that you would see a lot of liquidation going on between now and the end of the year in the total sector because of the capitalization issue.
Nat Kellogg – Next Generation Equity Research: Okay, that’s helpful. And then just last question, I know you guys have talked a little bit about the pricing that you guys are seeing from the mills that went up. But sort of curious how much discipline there is in the service center space, how much discipline you guys are seeing as far as service centers on their pricing and making sure that they keep some of the discipline in pricing so that the people won’t get hurt with higher price inventory and all that kind of stuff. Any color there would be great.
Michael Siegal: None.
David Wolfort: Well, Nat, part of that is (inaudible) if the service centers are absent from buying from the mills and there is no lower cost of material coming into the service, so everybody is battling in the marketplace with the same cost of goods. So in short, nobody is advantaged. The only person who can be advantaged in this marketplace is the first person who takes their inventory down to the appropriate level that allows them to come back in as a significant buyer in this marketplace. And as Michael well said, part of that is constrained by the credit issue and can they come into this marketplace. And the part of the constraint is in sole proprietorships or non-public entities is what's the appetite for risk on a go-forward basis?
Michael Siegal: And I think what you would see in a market like this and we are seeing it is that rather than step back into the mill, the service center will buy from the other service center first, because there is no requirement of volume when you buy from another service center. So if you’re short a truckload, you will go and step in and buy a truckload from the service center. We looked at our service center sales, and actually they are about – you would expect them to be down because the service centers are actually on lower shipments. Our service center sales are pretty flat. So service centers are stepping in and buying from each other rather than buying from the mills at this present time.
David Wolfort: And that’s an excellent point, Nat. And also large OEMs traditionally do some service center buying, but do direct mill buying, are also extending their service center buys because they can – again as Michael well commented on smaller volume, they can bring in smaller volume and feed themselves on a hand-to-mouth basis. And so again, we’ll see inventories drop faster because of that. And there is a less suggested competitive tone out there because nobody is advantaged.
Nat Kellogg – Next Generation Equity Research: Okay. All right. That’s very helpful. All right, guys. Thanks. As always, I appreciate the color. Those are very helpful comments and we’ll look forward to – good luck on the rest of the quarter. Thanks so much.
Michael Siegal: Yes, thank you.
Operator: And we’ll go next to Bob Richard from Longbow Research.
Michael Siegal: Long brow?
Bob Richard – Longbow Research: I'd better trim them. Thanks for taking our call.
Michael Siegal: Sure, Bob.
Bob Richard – Longbow Research: Can you comment for your customers, guys, would you say that their export markets are better than the domestic markets, or are you able to pull out any color there?
Michael Siegal: I would have no idea. I don’t think – they don’t – we don’t have that insight.
David Wolfort: From an overall perspective, we wouldn’t be able to comment. From an individual customer perspective, customers that we deal with that have an export position, a delivered – a deliberate export position, not one that took just advantage of a high – of a lower value dollar, those people still have basically the same ratio of export to domestic – but they have a disciplined approach to the marketplace. We haven’t seen a degradation there.
Bob Richard – Longbow Research: Okay, that helps. And again, the operating profit per ton, obviously very impressive. Is it fair to say if we reach a new plateau, a new higher plateau in steel and plate pricing once this fell off and that we should expect sequentially gross margin per ton higher than the – it probably was about $175 a ton on average when plate prices were about 850 plateau? It would be reasonable to think that that’s going to be upward if we reach a new plate plateau of about maybe $1,100?
Michael Siegal: We have a stated objective of increasing our gross margin per ton by adding value-added equipment and getting into sort of first stage manufacturing for the ultimate assembler. So, as we continue to invest in that downstream manufacturing opportunity, yes. The answer to your question is we would expect that our gross margin per ton increases accordingly.
Bob Richard – Longbow Research: Okay, that’s very helpful. And great quarter and thanks.
Michael Siegal: Thank you.
Operator: And with no further questions in the queue, I’d like to turn the conference back over to your presenters for any additional or closing remarks.
Michael Siegal: Thank you. As a reminder, it is our policy not to provide forward-looking earnings estimates for the upcoming quarter or year, and not to endorse any analysts' sales or earnings estimates. We anticipate releasing our fourth quarter and full year 2008 earnings in mid February. This concludes our call. And thank you all again for your interest in Olympic Steel.
Operator: And this concludes today's conference. We thank you for your participation. You may now disconnect.